Octavio Alvidrez: Good morning, everyone. Thank you for joining us this Fresnillo plc's Interim Results. I'm joined by Mario Arreguin, our CFO; and also by our COOs, on the central region, Tomas Iturriaga; on the northern region, Daniel Diez; and also by our team of the London office. This morning, you will hear an update how we are doing up to this half year on the operations, but also on the prospects and projects and how we are going. First of all, the disclaimer. This is the agenda that we will discuss this morning investment proposition, HSECR, highlights on the operational side and the financial side, operational performance at each one of the mines, the financial performance addressed by Mario Arreguin and to finalize with the outlook before we go to Q&A. We continue to be the world's largest silver producer and also a leading producer of gold in Mexico, underpinned by the group portfolio of quality assets, 2.2 billion ounces of silver resources and close to 38 million ounces of gold. We've been working to improve the margins at each one of the mines working twofold, very much on productivity, but also to contain and mitigate the cost caused by inflation and the effects at our mines. But also, I can say that, of course, these prices are helping us in that regard. We have good cash flows coming from our operations, attractive returns so that we have cash on hand, very healthy. The strong balance sheet as well. And we are on full year production guidance on track to hit it on the gold side and also on the silver side. A few words on the market. We cannot disregard that the silver, with its duality in terms of industrial demand has a very good support growing at a nice pace, but also on the gold side regarded for the store of value, but the good thing about these two markets is that scarcity of resources. I mean, it's been long since we haven't really had a discovery, a good discovery on the silver side, but also trending down on the gold side. So with this demand, the deficits in the market that support for the coming years, we believe this level of prices. On HSECR, safety is at the heart of all we do. As you can see, we have a very positive trend since 2017 to now. We continue to instill the -- our culture, I care, we care across all of our operations and across all levels in our organization. On the environment side, a few highlights. We're coming also to increase the demand -- energy demand from eolic sources coming from the low 50s at the end of last year, to 70% of our demands coming from green energy sources closing the gap to 75% by 2030. Community relations is very important across all of our operations. It's a partnership since the time that we get there for exploration, but through the different stages as we develop the operations. Of course, a good, educated communities, one that we can discuss things and issues, but also we support very well health in our communities. We bring every year through Foundation UNAM, the program for a week in addition to what we have in terms of health infrastructure in our operations. And that program is very well regarded. Also, I mean, we work with them in order to strengthen their entrepreneurial skills and abilities so that they benefit from the economic growth that we have in the regions, and also in sports and as I mentioned, in education. '24 half year highlights on the operational site, 28.2 million ounces of silver and just of 71,000 ounces of gold. We are working in the short-term, but also in the medium and long-term. In the short-term, we reaffirm our guidance, silver production in between 55 million and 62 million ounces of silver. On the gold side, 580,000 to 630,000 ounces of gold. We've had a soft first half, but Daniel Diez will address how we are -- what we are expecting for the second half in terms of our gold production. But as I mentioned, is a reassurance of the guidance that we will achieve according to what we described for this year. In the medium term, you will recognize that we have a stable production for the following 2 to 3 years. And what we are doing in order to address that is bringing some other brownfield production increases across our operations, more clearly on the Herradura District, but also in some synergies in the Fresnillo District as well. And you will start hearing more and more how we are thinking about those brownfield production increases in these two areas. Some -- a few words on the financial performance highlights, as I mentioned, healthy cash flows coming from our operations. EBITDA by half year, $544 million. Mario Arreguin will tell us all the details about the financial performance, but just to say as a highlight as well that we have here, we've been net cash positive and cash on hand of $690 million. A few words also on the projects, Orisyvo continues to advance to prefeasibility. Nonetheless, it's a challenging project, but more and more, we are strengthening this case -- this business case on the metallurgical side, but also on the return side. There are a few years until we bring this project on stream. Rodeo, nice to report that we finally have a deal with the agrarian community. We struck a deal in order to go for 3 years. This 3 years period will help us to start the exploration compare those inferred resources into indicators -- indicated and continue with the prefeasibility and feasibility stages there. Tajitos, we can regard that as a satellite operation in the Herradura District. That is advancing very well. We have report before. I mean the land is -- we have title of the land. And also, we continue exploring and making that resource growth. But the start of this project is Guanajuato. You will see how the resources grew from 1 year to the other. And that continues to be the case is an underground vein system, good rates, what we are discovering there and certainly an operation for the future in the Fresnillo portfolio. This to say, there are so many -- so other projects in our portfolio. And that's something that we will do as well. Some of them are in advanced exploration, but with some metallurgical problems, I should point out to Lucerito, nice resource in terms of silver, but also gold and also zinc with metallurgical -- different metallurgical pluses that we are testing across all of our operations. We believe that we have possibility to unlock this project and make it somehow possibility for the future in our portfolio as well. And that's something that we are doing as well. San Juan is a nice project also in the vicinity of Durango and Torreon, good infrastructure there, and that's something that we will take in the following periods. And with that, I would like to pass the microphone to Tomas Iturriaga on the Fresnillo District, and then followed up by Daniel Diez as well.
Tomas Iturriaga: Thanks, Octavio. Good morning, everyone. So let me start with some comments on Fresnillo. So as we reported in our production report days ago, we faced some challenges in our mine operations during the first half of the year, such as poor ground conditions, requiring extra ground support. This delay in mining cycles and impacting volumes produced and diluting silver grades also. We also found narrower than expected veins impacting volumes, mine and also increasing dilution of the ore extracted from those specific areas. All these impacts coincidentally happen in the East section of the mine, which is where higher silver grains are expected. So that's why you see an impact to our silver grades in the first half of the year. Results, we're already addressing all these conditions and by adding additional bolting equipment already at the mine site. So to deal with the conditions to the ground conditions faster and those expedite in mine cycles, and also by placing orders for smaller mine equipment to adjust to the mining sections to the narrower veins. We are reviewing in detail or short versus long-term reconciliation models to be able to better manage grade and tonnes variations in our production plan. And we are also very focused on improving our operational discipline and day-to-day controls in order to secure optimal performance of the mine. With all these actions, we expect an improved performance in the second half of the year at our Fresnillo mine. If while we are facing challenges with the silver grade, as I described. I wanted to highlight that the gold, zinc and lead rates at Fresnillo are all above plan. So in a silver equivalent ounce basis, the production has been solid during the first half of the year. And also, our cost reduction programs are granting good results in total dollar terms, despite a still strong Mexican peso and some persistent inflation. Moving into Saucito. I wanted to share with you that we are pleased with the turnaround of the operation after a very complicated 2023 that we faced. And although we don't take anything for granted, we continue very focused in all aspects of the operations. We can say now that the safety of the mine has improved noticeably, the ore grades are consistently according to plan and the mine output is also achieved consistently at the mine. Our new management team appointed early this year is having the leadership and making the impact that we expected out of them, while our joined workforce has stabilized and started show improved productivity after the turmoil caused by the labor reform a couple of years ago, particularly having an impact on Saucito. Cost per [indiscernible] is still an area of opportunity at Saucito. So we will further reinforce our ongoing efforts there to complement the good operational performance. Moving on to Juanicipio, where we had a very strong performance and results during the first half of the year. The mine operations are steadily delivering the output according or better than planned. We commissioned it and ramped it up mill operations seamlessly and have continued operating steady without any relevant issues. And the silver grades are reconciling very positively versus geological model. All these making for a very good and encouraging first full year at Juanicipio. We will continue focusing on securing a sustained performance at Juanicipio and also advancing the design, construction and installation of our underground bell conveyor as the next infrastructure component adding to the productivity of the Juanicipio mine. So I already described the main focus for each one of the mines, the central operational region. But I want to also comment that Octavio mentioned, we are focusing in advancing some brownfield opportunities. For example, we are focusing our within defense exploration. So we that brownfield potential to our existing mines. And we have the early-stage development of a potential integrated/interconnected Fresnillo District operations concept to unlock synergies and take full advantage of the installed capacity that we already have in the district. So with that, I'll pass it along to Daniel Diez for the Northern operations. Thank you.
Daniel Diez: Good morning, everybody. Moving forward to our Northern District operations, so let's start with Cienega. As you Cienega is one of our legacy operations has been there actually this year, it's getting 30 years old. So despite the complexity of this operation, given its age, I'm happy to report that we have developed a successful turnaround of this operation. The net result is a 35% reduction year-on-year basis on an all-in sustaining cost basis, which is a fantastic outcome with a 9% reduction in cost per tonne, 30% of our production in silver and 19% of our production in gold. So we're very happy with the results we're getting in Cienega. The key drivers for this upgraded production is an improved mine plan, delivering higher grades, which change the sequence, and we also have a tighter dilution control that is driving these results. On exploration given its age, it's not easy to find new areas. However, we have been successful on delivering positive results at depth and on new areas on Cienega, so we expect to come with a good news, extending the mine life 1 or 2 years from what we have right now. So all in all, very positive results on Cienega. Moving into Herradura. In Herradura, despite a strong first quarter that we had this year, we had a softer second quarter. This is driven mainly by strong weather events that trigger a geotechnical failure in one of our key operating areas. The outcome of that was the inability to access higher grade oxides. So this is not the lower production in second quarter, it's not a problem on the grades or the amount of ore, it's about getting the oxides for the heap leach as you probably read on our reports. It's about the recovery and what we are triggering on the heap leach. However, the good news is that we already accessed that ore. It's available, and we expect to catch up during the second semester and finalize the year within our guidance for the company with stronger results in Herradura. What you see as a result on cash cost and all-in sustaining cost, it's not an increase in expenditure, it's actually the lower production, it is triggering up the cost. But on the second half, we're expecting to come to the 1,500 to 1,600 all-in sustaining cost basis. The relevant news on Herradura, at around Herradura District that we briefly mentioned during the -- earlier this year about the potential that we see in that. And continue to progress on a strong pace on geotechnical work and conceptual engineering for two of the potential underground operations that we're expecting there. We expect to share some news on the results on the upcoming presentations. We are still advancing the exploration program in Tajitos and other prospective within the district. And that, as you know, we see strong potential full exploration beyond what we already have in Herradura, in our own land that is already intervened. So I hope on what we have in there. And in terms of cost reduction, we have a program very strong with key measures for the second half of the year, we are reviewing our key contracts right now, and we expect to start capturing some of the savings during the third quarter of the year. And finally moving to San Julian, as we reported before, the issue that we had on the disseminated ore body that triggered the necessity of shorter the mine life and end the operations in October this year has been well compensated and overcompensated in production by the vein system, where we're happy to report that we have a 19% higher production in gold and 60% high production in the vein system on silver. So we have a very strong results both on the operational side, we pushed together a -- very strong operational excellence program that we are already capturing the results right now by higher throughput. We already delivered 3% to 4% higher throughput. However, on a run rate basis, we expect a 9% on the long run. And we also are having higher grades than expected on the mine. So the results are the ones that you can see with an overall outcome of a 34% reduction on an all-in sustaining cost basis for the [indiscernible] system. What is the net result of this? It's the sustainability of the long-term view of the vein system that is what is going to keep operating during the upcoming years. And also the successful exploration results that we have seen on San Julian right now makes us confident about the future of San Julian beyond 2030, that is where we have our current life of mine plan. Handing over to Mario.
Mario Arreguín: Thank you, Daniel. And if you don't mind, I'll just stay here. If we can move to Page 22, please. All right. Thank you. This slide shows the income statement for the first half of the year, and we compare that to the same period in 2023. And as you can see from all the different profit levels, which are underlined in yellow, we had a very good first half. Gross profit was up almost 39%. Operating profit was up almost 190%. Profit before income tax was up 480%. Profit for the period was up 31%, and EBITDA was up 55%. So let me start with the very first yellow line with the gross profit, where we show a $109.7 million increase in gross profit. If you move up that same column, all the way to the top and look at the adjusted revenues line, you will see that we had an increase of $129.5 million. So clearly, most of that gross profit increase was due to higher revenues. Now the question is how much of that increase in revenues was due to volume? And how much of that was due to price? And to answer that question, if we can move to Page 23, please. Here in the bottom part, you can see that of the $129.5 million increase in revenues. We actually had a negative impact from volume by $59.2 million negative impact. And that mainly resulted from the lower gold sales volume, which was 19% down compared to last year. So that resulted in a $128 million adverse effect. Fortunately, that was mitigated by the higher silver volumes sold, 5.5% higher, which represented a $37.7 million benefit, also, we had higher sales for both of our byproducts. Lead was up almost 20% in sales volume and had an impact of $11 million positive. And in the case of zinc, 17% higher sales volume, which represented a benefit of $20 million. In terms of prices, clearly, we were benefited by the higher gold and silver prices. Average price for the period was $2,236 per ounce in the case of gold, that was an almost 15% increase compared to the previous period and had a positive impact of $83 million. In the case of silver, average price for the first half of the year was 27%. It was 16% higher than the previous year, and that represented a benefit of $103.8 million. If we can go back quickly to Page 22, the income statement. Then if we continue to move down you will see that the adjusted production costs were higher by 9% or $17 million and the best way to explain this variation, I think, would be if we move to Page 24, where we show a -- what we call a rainbow analysis or waterfall. And here at the green bar, which is at the far right-hand side, represents the $70 million increase in adjusted production cost. And like always, in red, we show the variables that had an adverse effect. And in blue, those which had a positive effect. So I would like to start with the variables that are outside of our control. With bar #3, you can see the effect of the revaluation of the Mexican peso. Now remember, we are comparing the average exchange rate for the first half of this year compared to the first half of last year. So the average exchange rate last year was 18.21 and the average exchange rate for this year was MXN 17.10 per dollar, meaning a 6.1% revaluation. Bear in mind that currently, the spot exchange rate is 18.6%, but this -- adjustment of this devaluation came about just a few weeks ago, so we didn't see the benefit of that evaluation in the first half. While this revaluation had a negative effect of almost $31 million, as you can see there. And in column #4, we talk about cost inflation, excluding the FX effect, I would say that inflation is subdued now. We only experienced a 1.7% increase in inflation in terms of the unit cost increase in our intake, and that had a negative impact of $18.8 million. Now if we look at the bar #1, what we show here is basically some of the operating issues that we had faced, which translated into higher production costs, namely, for example, in Herradura, where we had longer haulage distances, and in Fresnillo, where we had more maintenance and the use of additional contractors. This had a negative impact of $50 million. And in contrast to that, we had on bar #6, you can see that we also experienced efficiencies and economies of scale at some of our mines, specifically at Saucito, Juanicipio, Cienega and San Julian. Unfortunately, that had a positive effect of reducing our production cost by 60 -- almost $61 million. So the net effect was positive when you look at column 1 and 2 and 6, sorry, simultaneously of approximately $11 million. And lastly, in column #2, we show the effect of the increase in the volumes of ore produced. Of course, if you are processing more ore and extracting more ore that translates into a higher production cost and that implied an increase of $26.7 million. Now this one, we really don't need to worry about it because behind this increase in volume, we will see an increase in sales and increase in profit. So to summarize, I think the only one that we -- that is -- that has to do directly with the operations is bar number one. But again, fortunately, that was offset -- completely offset or more than offset by bar #6. So hopefully, with that, you get a clear idea of what went on during the first half of the year. I move back to Page 22, please. If we continue to move down the income statement after adjusted production cost, you will see the depreciation line. And here, you see an important increase of almost $68 million. It almost is equivalent to the same increase that we saw in adjusted production cost. And the reason for that increase was basically related to two of our mines. One is the San Julian mine, as you know, that mine has two operations, the disseminated ore body and the veins. The disseminated ore bodies coming to an end, probably by October, we will be done with all our reserves and resources. So we had to depreciate that at a much more accelerated pace. So that was one of the reasons. And the other reason we had to do with Juanicipio. That's practically a new mine, and it's natural to see an increase in the depreciation at Juanicipio. I would say those are the two main reasons behind that increase in depreciation. If you continue to move down, you will see an important effect, I will say, of the variation in change in inventories. That had a positive effect of almost $85 million and to explain that, just briefly, if you look at the change in inventories in 2023, you will see that we had a reduction in inventories equivalent to $26.3 million. Maybe you might not remember, but a year ago, what I explained was the fact that we found additional ounces at the Herradura mine, which were not accounted for. So they were -- accounting-wise, they were considered at 0 cost. It was approximately 25,000 ounces at 0 cost, which were mixed with the inventory and the effect of that was a reduction of inventories. That together with Juanicipio where we had a reduction in the stockpile of Fresnillo that we had accumulated because of the delay in the construction of the plant. So that inventory came down, and those are the two reasons behind the decrease in inventories, which accounted for $26 million. In contrast to that, in 2024, you see that we had an increase of $58.5 million, which basically resulted at the Herradura mine with the newer production going into the inventories at a higher cost. So it was not a volume effect, but it was rather the way we registered the cost of the inventories. And lastly, in unproductive cost, you will see that we had a benefit of $21.5 million. And that's due to the fact that in '23, I'm sure you remember that we had an illegal stoppage, a 4-week illegal stoppage at Herradura and Noche Buena. So the costs incurred during that period, which were not related to production were accounted for as some productive costs. And of course, we didn't see that happening this year. So that's why you see this positive effect of $21.5 million. If we continue to move down the income statement very quickly, you will see that the profit from continuing operations increased by $154 million, of which $110 million came from the higher gross profit. So the two additional issues that increased the operating profit were: one, the lower exploration expenses. We are spending more -- less compared to last year. Actually, we are behind what we budgeted for this year, but we expect to make up for that -- or most of that during the second half. And then in other income, you see a -- let's say, a benefit of $28.5 million. Again, we had an extraordinary event in 2023. If you look at the number there, you will see that we recognized a $33.5 million expense. And back then, what I explained was that we had seen some activities going on at our leaching pad in Soledad-Dipolos, some illegal extraction going on. And we estimated that approximately $22 million were extracted of our inventories, and we recognized that as a loss in our income statement. We're not seeing that activity going on this year. So that's why you see that positive effect of $28.7 million. If you continue to move down the income statement, in terms of the silver stream. As you know, we do market that -- we mark-to-market the silver stream at the end of the half year and at the end of the year. And in 2023, what we saw was a loss and that was due to the fact that the Sabinas Mine is where the silver comes out from had recognize lower reserves and resources. So when we included that into our model -- valuation model, that resulted in less production going forward, and that's why we recognized a loss back in 2023. And in 2024, of course, prices of silver went up. We recognized that in the model, and that was the main reason behind the revaluation of the silver stream this year. So when you put those together, you get a positive effect of $83.5 million, which is very important. But it really has nothing to do with the operations and it's basically just accounting for the mark-to-market of the silver stream. And lastly, perhaps, you might be interested in knowing why we had a $229.9 million increase in profit before taxes. But when you go down to the profit after tax, it goes down to only $28 million. So you might ask you so well, what happened there. And again, in 2023, we had this very unusual situation where we had positive income tax. In other words, the profit after tax was higher than the profit before taxes. And I'm sure you remember that last year, when I explained this, I said that this was due to the revaluation of the Mexican peso. Back then, this time around, we had a devaluation because what you do here is you take into consideration, not the average exchange rate, but the spot exchange rate prevailing at the end of the month in this case, June. So you see a more normal situation, right, where you see a negative income tax. And if you look at the percentage that, that represents of income before taxes, you will see that is approximately 32%, which is very close to the statutory tax rate in Mexico, which is 30%. So we're back to a more normal situation in this quarter, and you also have negative mining rights. In other words, that we are accounting for payments of the mining right here. And I would say those are the main highlights. So many extraordinary events happened last year that did not happened this year, which is good. And if we can just move very quickly to the cash flow on Page 27. Just comment on the first column in the bottom. As you can see, we closed June with $691 million, which compared to our opening balance this year of $534.6 million, that meant an increase of $156 million. So it's nice to see that we're net cash positive. Main cash generator was, of course, the operations in the very first line. We generated almost $548 million, 70% above last year. Main uses of cash, of course, CapEx purchase of property, plant and equipment, which was $170 million, 25% below last year. Other important uses of cash were working capital, and this was mainly due to the increase in inventories that I explained, and of course, income tax and the profit sharing, which we paid during the year. Remember here, we're talking about provisional tax payments that we make on a monthly basis. Dividends paid, we paid the final dividend for 2023 in May this year, $31 million. And then we're returning money to the Juanicipio partners. So the last contributions that we made to the project were not done as equity, but rather as loans because we knew that once the mine was opened, it was going to be generating an important amount of cash flow initially. So we're starting to pay back the loans that were granted by the shareholders. In this case, [indiscernible] and we paid $43 million. Of course, Fresnillo was paid close to $57 million. That's basically, I would say, the main highlights of the financials.
Octavio Alvidrez: Just coming to an end, and a few words about the outlook and before coming to your Q&A. As you can see, I mean, we have silver production trending down. But as we mentioned, I mean, glad to see Saucito on a better performance this year as well, San Julian Veins contributing to the silver production. And with the exploration results, I mean, we can have a better certainty that, that could continue in the following years. Gold production a bit softer in the following years. But as we mentioned, I mean, we have a possibility to bring some brownfield production increases, specifically in the Herradura District. Lead and zinc, higher production as we continue to go down on the Fresnillo District mines. Therefore, if we see this slide, together with what we have here in terms of the time line for the project. We will see that brownfield production could be able to fill some gaps, while we bring onstream Rodeo 27, Tajitos 28, Orisyvo 29, and Guanajuato 30. Of course, we continue to develop these projects revise this time line and giving you up to how those look in the following years. In terms of CapEx. We continue to revise all of the budgeted CapEx. And therefore, we are coming down to $410 million this year. We maintained somehow the $500 million level, the following years of CapEx, but with a focus of cash preservation, I mean that's something that we do across all of our operations. Some closing remarks, continue enhancing our safety culture across all of our operations. We saw the indexes trending positively down. Reinforcing and instilling the culture in all of our mines. Focus on cost control mitigation in this still inflationary environment that we continue to operate on. As Mario mentioned, I mean increased returns through the dividend policy that we have reflected by better performance of our operations, but also higher metal prices. Brownfield with this cost and also will be good placed in order to capitalize on the future growth of our projects and continue to evolve prospects in our portfolio. And with that, we can go to Q&A.
A - Octavio Alvidrez: Jason?
Jason Fairclough: Just two -- Jason Fairclough, Bank of America. Two, I guess, related questions. So the projects seem to be taking a long time. And is that because of bottlenecks within Fresnillo? Or is it a broader issue in terms of Mexico? Like -- I feel like I've been looking at Orisyvo on that pyramid for many, many, many years now, and it's still PEA, pre-feasibility, whatever it is. So is it Mexico? Is it Fresnillo? And how are we thinking about the new regime in Mexico? What does it mean for your business?
Octavio Alvidrez: Yes. I think it's both I would say. And I mean we want to go to some particular issues that is one of the projects and also contrast that with the current environment in Mexico, we can find both has some reasons to this delay in bringing on the projects. In particular, Rodeo, and we had a long time in order to concrete the deal with the community there. Finally, we did it 1.5 months ago. We are expecting to come into the project and do the exploration advance from inferred to indicated and continue with feasibility. Orisyvo, challenging project definitely, location, quite difficult. That would mean some challenges on the permitting side, but also particularly to the project because the metallurgy was the key in order to unlock that and bring that project efficiently. Something that we are doing. We are testing Albion and [Bioleach] as well. And that is giving us clarity for the project on the coming -- in the coming years and continue to evolve. Nonetheless, on the permitting side, and we'll continue to work there because that's one of the main challenges. And then Tajitos, we have started a bit later on the exploration front that project continues to grow and advancing at good pace. And then Guanajuato is just a recent exploration discovery. All of this in order to say that we should realize that also in Mexico, the permitting process that used to last probably 18 months to 2 years now is taking longer as well. So is the -- with this new administration coming in the following few months, we have high hopes that through that dialogue and with the objectives of this administration in terms of economic growth, specifically in areas in which mining can contribute, we can be much better on the same line.
Jason Fairclough: Where are we with the potential ban on open pits?
Octavio Alvidrez: Well, that's, of course, something that continues to be in the environment in Mexico. We continue to have a dialogue -- open dialogue with many actors in the coming administration. We believe that we have all of the arguments in order to continue with this kind of mining in Mexico. It would be a major probably disruption if that was to pass not only for open pit mining, but for some other industries like cement and construction materials and the likes. So we believe that we can make a case in order to maintain and continue with open pit mining in Mexico. Well, that's something that we're still discussing.
Richard Hatch: Richard Hatch from Berenberg. A few questions. Firstly, just on cost savings. When we sat here about 6 months ago, you outlined about a $50 million target to bring costs down. I just wonder if you might be able to give us an update on how that's going. I can see you've made some good improvements sort of in this first half, but just to kind of give us a benchmark. That's the first one.
Octavio Alvidrez: Yes. A few words, Tomas and Daniel, on the cost initiatives across the mines?
Daniel Diez: Sure. On the Northern District in Herradura is where we have our higher expenditure base. We are setting the foundation for what we expect to capture in the second quarter. And actually, we saw we haven't seen many actual savings during the first half of the year. However, we expect that to improve during the second half. On the other side in Cienega and in San Julian, we have significant reductions in terms of cost. We have improved our efficiencies, but also in particular in Cienega, the contractual base has dropped almost in 50%. And in San Julian, we're also, right now rightsizing the operation because of the end of life of DOB. So also significant cost reductions on those two operations.
Tomas Iturriaga: Likewise in the central region, Fresnillo, we're seeing good improvements in cost all across the cost items, and contractors, human resources, operation materials. So Fresnillo is a good success story. Also Juanicipio, we are really capturing the benefits of our new operation with all the productivity and good grade capitalizing that. Saucito is still a bit challenging. Like I said in my presentation, we are continue focusing there. We want to decrease the contractor base, as we have done in Saucito and -- I'm sorry, in Fresnillo. So we want to translate that to Saucito as well, basically I would say those are the main focused operating materials, contractors, rationalizing contractors and also being very discipline in our capital allocation. We are reviewing the CapEx for the year. So we really, really use the minimum required for the year on a cash preserving strategy.
Richard Hatch: Okay. Can I just follow-up on Fresnillo in particular?
Octavio Alvidrez: Yes.
Richard Hatch: So if I look at the cost first half, $115 a tonne, that's up about 25% year-on-year. And I understand you had a challenging half. Previously, that mines been below $100 a tonne operating costs, right? So what is the plan to get that mine to medium term? And the same goes for Juanicipio. Can you give us sort of any kind of clarity over guidance as to what kind of dollar per tonne target, we need to be looking for, for Juanicipio? And then sorry, just on Fresnillo, you mentioned about the narrow vein system. Is that the new normal for Fresnillo, and what are the opportunities to improve production of that mine?
Tomas Iturriaga: That's what we are finding, like I said, and as we go deeper and West bound of the mine, we're funding narrower veins. So that's impacting our volume, right? And we are reviewing that. I wouldn't say at this point, it's what we should expect going forward. In the short-term, that's a condition. We are starting the case. And we are having an impact on the output that impacting our per tonne cost, right? In dollar terms, savings are there. We're doing what we need to do to keep the spend under control. So I would say at this point, it's about the output more than the dollars, right? So yes, that's what I can comment. And then your question on Juanicipio, I didn't understand.
Richard Hatch: It was just -- if I look at the cost, $120 a tonne first half, what is a good -- on Fresnillo, should we expect costs to trend back down to that sort of below $100? Or long-term, I get you? And the same for Juanicipio?
Tomas Iturriaga: Yes, same for Juanicipio.
Richard Hatch: Okay. Great.
Octavio Alvidrez: Juanicipio will have full year operation this year. So a better place to give you an expectation about the cost per tonne for the following year.
Richard Hatch: Sorry and last one. Just if I look at, there's been a couple of really unfortunate incidents with heap leaches this year, one in Turkey, one -- smaller one, perhaps in Canada, but still some operational issues with heap leaches. Are you seeing increased focus on kind of safety, operational performance from regulatory bodies just given a couple of pretty bad safety incidences at heap leaches?
Octavio Alvidrez: Daniel?
Daniel Diez: We have seen in the market some of the issues you mentioned. And we very strict about geotechnical controls and the operational controls in our heap leach, we don't foresee any problems given the levels that we have. The main issue with heap leach is about the creation of layers of material intermediate. And we don't have that problem because we don't have plays, we don't have fines on our heaps. So we don't expect any kind of issues on our operations.
Octavio Alvidrez: Can we see if there is a question online?
Operator: [Operator Instructions] Your first question is from the line of Daniel Major from UBS.
Daniel Major: Yes. Can you hear me, okay?
Octavio Alvidrez: Yes.
Daniel Major: Great. Yes. The first one just on the cost theme, again, it looks like your weighted average inflation on costs about 6.5%. Where would you expect that to trend in the second half of the year? Would you expect unit costs or absolute level of cost, maybe absolute level of costs across the business to be stable or lifting with the expectation you get some better gold volumes in the second half? That's the first question.
Octavio Alvidrez: Right. Yes. When you say 6.5% cost inflation, of course, you're talking about the combination of both the inflation on a stand-alone basis and also the foreign exchange effect, the peso. And as you can see, the peso is currently trading at MXN 18.6 per dollar. So I think that's going to help us quite a bit during the second half of the year. In terms of stand-alone inflation, like I said, I think it's been subdued now. We're not seeing those increases in the unit cost of operating materials and the like. So I think we will have a better second half of the year in terms of cost production at a consolidated level. And I would even dare to say we might see a reduction in dollar terms due to the devaluation of the Mexican peso.
Daniel Major: Okay. So total adjusted production cost potential for it to trend lower in the second half on a group level. Is that the message?
Octavio Alvidrez: That's correct.
Daniel Major: Okay. And then the next question, which is a discussion topic we've had on this call for a number of years. Yes, Fresnillo grades still massive gap between mine grade and reserve grade. I mean, is there any confidence you can give us that this asset will achieve anywhere near reserve grade anytime soon?
Octavio Alvidrez: Well, I tried to explain what the growing issues that we are facing with grade and having to do with dilution coming from the ground under lower veins, that's particular to this year. Second, there is also a model price impacts. The long-term price in the calculation of the reserve is lower than the month price that we used to upgrade our short-term models. So that's a difference also that we need to reconcile. And in the long-term, like I said, we are reviewing our reconciliation models to find out whether there is another factor that we are not accounted properly for design of the stopes in terms of the geometries or dilution pertaining to the particular mining method. All that, we are starting to try to close that gap. That's what I would comment.
Tomas Iturriaga: Yes, still pending an issue then.
Daniel Major: Yes. I mean, to be honest, it's not really been this year. It's been an issue for many years, you've achieved far too high levels of dilution. So I kind of pushed back slightly on this and you've had specific issues this year. It's been something that's been going on for quite some time. But I guess, let's see. Okay. And then the final question, I mean, maybe just on to Jason's kind of point. You don't sort of really have many projects you can actually pull the trigger on to move forward with growth. You've got a flat to declining production profile. But you've also got quite a strong balance sheet. Is M&A something that you would look to, to try and replace some of the depletion and to add some growth to the business?
Octavio Alvidrez: Yes, M&A is a way that we are exploring for in a more formal and systematic way, definitely. I mean you may have seen an announcement that we are including strengthening the team on that regard with the business development executive there. And therefore, we are taking a systematic look in order to explore that alternative growth strategy. But also in order to address that in the short, medium term, that downward trend production, as we mentioned, I mean, we are exploring with more details the brownfield projects that we have in Herradura, as we mentioned, and Daniel talked about those underground possibilities, but also synergies in terms of increasing production in the Fresnillo District, yes. Okay.
Unidentified Analyst: Do you see potential for further reductions in 2025 and '26?
Octavio Alvidrez: We didn't catch the whole question, sorry.
Unidentified Analyst: Can you hear me right, now?
Octavio Alvidrez: Yes.
Unidentified Analyst: [indiscernible]
Octavio Alvidrez: Your question again, please?
Operator: And Marina has dropped off the call, and we'll just pause for a moment, to see if she calls back in.
Octavio Alvidrez: Okay. Can we take your question?
Patrick Jones: Yes. Patrick Jones, JPMorgan. Just a quick one. You mentioned that about 70% of electricity is now coming from renewable sources. Your target for 2030 is 75%. So it's a pretty small margin from there over the next 5, 6 years. What's kind of the hurdle to getting that to 100%?
Octavio Alvidrez: It's more on the administrative processes that we had in Mexico in order to include more of our operations to the possibility of the source that we have in terms of clean energies. So that administrative process more than really producing from other sources, now the source is there, is just the administrative process.
Patrick Jones: Okay.
Octavio Alvidrez: Okay. Well, thank you very much all for joining this call. Thank you.